Operator: Welcome to MasTec's First Quarter 2024 Earnings Conference Call, initially broadcast on Friday, May 3, 2024. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to our host, Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
Marc Lewis: Thanks, Maddie, and good morning everyone. Welcome to MasTec's first quarter call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of initial broadcast of this conference call and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of our risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in this call. In today's remarks by management, we will be discussing adjusted financial metrics reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP measure can be found in our earnings press release. Please note that we have two additional documents associated with today's webcast, which along with our earnings press release can be found on the Investors Events & Presentations page of our website at mastec.com. There is a companion presentation with information and analytics on the quarter just ended and a guidance summary to assist in developing your financial models going forward. Both PDF files are available for download. With us today we have Jose Mas, our CEO; and Paul DiMarco, our EVP and Chief Financial Officer. The format of the call will be opening remarks and analysis by Jose followed by a detailed financial review from Paul. These discussions will be followed by a question-and-answer period and we expect the call to last about 60 minutes. We have a lot of important things to talk about today, so I'll turn the call over to Jose so we can get going. Jose?
Jose Mas: Thanks Marc. Good morning and welcome to MasTec's 2024 first quarter call. Today, I'll be reviewing our first quarter results as well as providing my outlook for the markets we serve. First, some first quarter highlights. Revenue for the quarter was $2.687 billion, up 4% organically year-over-year. Adjusted EBITDA was $157 million, a 54% year-over-year increase. Adjusted earnings per share was negative $0.13, $0.35 better than consensus and backlog at quarter end was $12.8 billion, a $430 million sequential increase. In summary, results were better than guidance across all segments. I'm proud to say this was a very clean quarter. Segments performed as expected or better and cash flow as expected was strong. I think this is an excellent indication of what we expect for the balance of the year. I'd like to walk through a number of positive developments that I believe will have a significant impact on our ability to grow both revenue and earnings. As we announced on our last call in our Communications segment, we significantly expanded our relationship with our biggest customer AT&T. AT&T expanded both our scope and geographic territory on our core wireless work. This expansion coupled with their announcement of a complete swap out of Nokia equipment to Ericsson equipment over a five-year period is expected to significantly increase our wireless business over the next few years. While we'll see some impact during the first half of this year, it will mostly be site acquisition and engineering work. The work we are doing now is what is creating workable backlog for the second half of the year. So our visibility is excellent. In addition, we continue to see very strong demand for our wireline services. We expanded our customer base during the first quarter and are very encouraged about the optimism of our customers related to BEAD's funding. Demand for connectivity and information requires a significant investment in our nation's broadband infrastructure. The advancement of data collection requires networks with low latency and high speed. We're also encouraged about T-Mobile's recent announcement of its investment in fiber infrastructure. Through a joint venture, T-Mobile will be an anchor tenant and investor in a large nationwide fiber network. This transaction demonstrates the importance of carriers owning and controlling their infrastructure as demand for moving data significantly increases. Our Communications backlog total reached a record level in the first quarter, and we're off to a great start this year. Our Oil and Gas pipeline segment overperformed as revenues and EBITDA both came in higher than estimates. While Paul will cover it later, we've increased our full year expectations for this segment for both revenue and EBITDA. While backlog is down demand is actually very strong. We expect this segment to return to a more book-and-burn cadence, as it relies less on larger projects. We are confident in the visibility we have in this segment for the next few years, and we've been surprised with the potential that gas-fired generation has relative to powering industrial and manufacturing facilities, as well as data centers. Having good visibility over a multiyear time frame, is very different than where we've been in the last few years and it gives us a lot of confidence in our business. In Power Delivery, conversations throughout the quarter centered around the long-term expected load growth our customers are beginning to experience. With the level of activity being experienced by industrial and manufacturing growth, coupled with the proliferation of data centers, the ability to power these facilities is becoming the most important issue. While we've talked about some short-term pressure as utility customers manage their distribution transmission budgets based on need and the regulatory environment, our expectation is there is a need for significant investment in our country's electrical grid to meet the growing demand. We have seen a significant uptick in transmission-related opportunities and expect that trend to continue. Backlog in this segment was up slightly sequentially, and we expect strong backlog growth for the balance of the year. Finally, in our Clean Energy and Infrastructure segment, margins were in line with our expectations for the first quarter. Backlog was up about $400 million sequentially, and projects under limited notice to proceed exceeded $2 billion, much of which we expect to convert to backlog in the coming quarters. Renewable demand is very strong and our visibility has greatly improved versus last year. Renewables will be a key driver of added generation, to help meet the needs of our country's load growth and we believe we are very well positioned to take advantage of this growth. I've talked about load growth, a lot today. And obviously, one of the drivers of that is the expected growth of the data center market. While data centers will create significant opportunities for us in both our clean energy and Power Delivery segments in the form of increased renewables, transmission, substation and battery storage, data centers will also have a positive impact on our Communications business, as more data is transmitted. But what we didn't expect, was the potential that data centers have on our infrastructure business. As a reminder, with the combination of IEA and MasTec's legacy infrastructure business, MasTec has significant geographic diversity in the civil space. We spent a lot of time understanding the needs of data center builders, and the potential opportunity that exists for MasTec. To date, we've actually completed over $150 million in data center infrastructure work and currently have approximately $200 million in backlog to complete. In addition, we have approximately $1 billion in identified RFPs, we expect to bid this year. While we won't win it all, we believe we are uniquely positioned to provide data center builders, with a package that includes assistance on connecting to the power grid, infrastructure required for communications and site and civil work on the front end of their build-outs. While we're still early in understanding the full potential of this opportunity, we recognize the potential impact. In summary, I strongly believe that the investments we've made in the last few years, to build scale along our vertical offerings, will translate to not only strong levels of revenue growth, but the ability to meaningfully improve margins. I want to emphasize that thought. I believe the most successful companies in our space are those that have the scale to meet our customers' demands. Our customers' projects have significantly increased in size, scope and complexity. And there is no question that our customers want to simplify and work with less partners. I believe that over the last few years, our biggest accomplishment has been to position ourselves as one of only a few partners that skewed throughout our industry as a partner whose workforce, size and scale affords us the capabilities to take on any project. While I'm proud of that accomplishment, I also understand the need for this advantageous positioning to be reflected in our financial results. While I'm optimistic that today's results begin to demonstrate this, I also recognize we have great potential to improve margins. I'm excited to see what the future holds for MasTec. I'd like to take this opportunity to thank the men and women of MasTec. I'm honored and privileged to lead such a great group. The men and women of MasTec are committed to the values of safety, environmental stewardship, integrity, honesty and in providing our customers a great quality project at the best value. These traits have been recognized by our customers, and it's because of our people's great work that we've been able to position ourselves for continued growth and success. I'll now turn the call over to Paul for our financial review. Paul?
Paul DiMarco : Thank you, Jose, and good morning, everyone. To begin, a few first quarter highlights. Revenue of $2.7 billion was a record for Q1, exceeding guidance by approximately $60 million. Adjusted EBITDA of $157 million, exceeded guidance by $27 million, with margins 90 basis points ahead of expectations. We outperformed our earnings guidance in every segment, which I will cover in more detail later. Adjusted loss per share was $0.13, exceeding guidance by $0.35, driven primarily by the adjusted EBITDA beat. We generated approximately $110 million of cash flow from operations in this quarter, starting the year off on a positive pace. This brings our trailing 12-month total cash flow from operations to almost $900 million, comparable to the adjusted EBITDA earned over the same period. We reduced net debt by $70 million in Q1 and net leverage also declined to 2.7 times. 18-month backlog at Q1 totaled $12.8 billion, an increase of $430 million from year-end, despite the significant revenue earned on MVP in Q1. We saw clean energy backlog grow by almost $400 million in the quarter, while Communications backlog increased by $170 million to a new record level. While year-over-year backlog decreased, normalizing for the impact of current pipeline project mix and our reduced emphasis on industrial projects would result in approximately $200 million of growth versus last year's first quarter. Lastly, as we announced yesterday, we are raising our full year outlook, which I will cover in more detail shortly. Now, I'd like to cover our segment performance and expectations. First quarter pipeline segment revenue was $634 million with adjusted EBITDA of $93 million, or 14.6%. We continue to have strong performance in this segment with lower-than-anticipated contributions of cost-plus work driving margins higher than our guidance. We now expect 2024 pipeline segment revenue to reach $2 billion, a $100 million increase from our prior guidance. Adjusted EBITDA margins are still expected to be in the mid-teens, improving 100 to 150 basis points versus 2023. Second quarter revenue should be approximately $600 million with adjusted EBITDA margin in the high-teens and likely our highest margin quarter for the year. First quarter communications revenue was $733 million with an adjusted EBITDA margin of 6.7%, both slightly ahead of our guidance. This year is shaping up consistently with our original forecast as we capitalize on the strong demand for both wireline and wireless construction services. Full year segment guidance remains unchanged with revenue of $3.5 billion and adjusted EBITDA margins in the high single digits, improving versus 2023. For the second quarter, we anticipate revenue will be approximately $825 million with adjusted EBITDA margins in line with the full year estimate. As we mentioned previously, we expect to begin realizing the benefits of vendor consolidation in the wireless industry during the second half of 2024 and be fully ramped in 2025, as evidenced by the continued backlog growth in this segment, which now stands at $5.8 billion, a new record. First quarter Power Delivery segment revenue was $571 million, and adjusted EBITDA margin was 4.8%. Revenue was slightly ahead of our expectations as mild winter weather allowed for some pull forward of Q2 work particularly in the central region. For the full year we now expect Power Delivery revenue and adjusted EBITDA margins to be roughly in line with the prior year, but slightly lower revenue than our prior forecast. Full year revenue continues to be impacted by project deferrals from our utility customers in Illinois, while they await a ruling on the revised rate case proposals. And we now expect the delayed start to certain transmission projects pushing revenue into 2025. Second quarter revenue was forecasted at $650 million with adjusted EBITDA margins in the high single-digits. First quarter Clean Energy and Infrastructure segment revenue was $753 million slightly below our guidance with adjusted EBITDA margins of 2.7%. Revenue in the quarter was impacted by timing on certain infrastructure projects that we expect to make up in subsequent quarters. Backlog grew by almost $400 million in Q1 and we expect strong bookings in the second quarter to continue this trend. Our full year Clean Energy segment guidance remains unchanged at $4.4 billion of revenue with mid single-digit adjusted EBITDA margins. Second quarter segment revenue is forecasted to be $1.025 billion with adjusted EBITDA margins in line with 2023 second quarter. On a consolidated basis, full year revenue is now expected to be $12.55 billion with adjusted EBITDA of $975 million. This incorporates the Q1 outperformance and our consistent expectations for the balance of the year. We expect second quarter revenue to be $3.1 billion with adjusted EBITDA of $260 million or 8.4%. We now expect adjusted EPS to be $2.95 for the full year and $0.88 for the second quarter. Our full year adjusted EPS outlook represents a 50% improvement versus 2023. Our Q2 guidance represents 8% revenue growth year-over-year and 15% sequentially from Q1. This sequential growth will likely drive incremental working capital investment and put pressure on cash flow in the second quarter. However, our full year outlook for cash flow from operations remains unchanged at approximately $550 million. There is no change in our outlook for the cadence of the year with expected year-over-year growth continuing in the third quarter and Q4 roughly flat to last year without any contribution from MVP. Our deleveraging efforts remain on track with net leverage of 2.7 times for Q1 and our outlook for year end reaching the low two times range. As a reminder, we posted a guidance summary to the Investor Relations section of our website that summarize our outlook and provides additional data points for modeling purposes. I'll now turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We will take our first question from Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Good morning, everyone.
Jose Mas: Good morning, Andy.
Andy Kaplowitz: Jose just focusing on the $1 billion of infrastructure opportunities within data centers from $200 million you have in backlog. Did you begin to see an acceleration of this work in Q1? Will that accelerate from here? And then maybe backing up MasTec has had big cycles before move to 4G or 5G big pipeline cycles. How would you characterize the data center opportunity for MasTec versus other cycles? And to your point on margin I think data centers customers could drive a hard bargain. So how do you protect MasTec and deliver good margin on this work?
Jose Mas: Yes, Andy. So a couple of things. I think probably at some point last year we had a lot of people within MasTec beginning to talk about what they were seeing in data centers. I don't think as an organization we truly understood what was coming. I think it became a lot clearer earlier this year as we began to see and read about what all the hyperscalers were saying and a lot of the data centers builders were saying. It's still an industry that's in flux right the way data centers are being built and the type of data centers that are being built or changing before our eyes right as they go from more cloud-based centers to AI-based data centers. Tremendous opportunities for MasTec. I think, we've definitely seen a massive acceleration in the opportunity pipeline. I think we're looking at a lot of different areas within the data center to work in where we think the margins are acceptable and within the kind of guidelines that we put out across our different segments of what our expectations are and we would expect to be able to hit those kind of margins in that world as well.
Andy Kaplowitz: Got it. And then maybe just focusing on Communications, I know you mentioned work for the new contracts starts in the first half and ramps up in the second half. But maybe talk about your visibility to the ramp in Q2 and into the second half. Do you need the markets themselves to continue to get better? Or do you kind of have enough of sort of your own contracts to sort of get to the numbers that you're giving us?
Jose Mas: And that's what we tried to really cover in the prepared remarks right is to say our customers, it's actually somewhat remarkable, right? Our customers actually want us to go faster for us. Our ability to hit our second half numbers are all about what we're able to engineer in the first half, right? So, it's on us, right, to the extent that we can get stuff done the work is going to be there for us in Q2 because we're almost self-generating the work based on the initial work that we're doing. That's what gives us so much confidence this year going into the second half. Historically, we haven't been in that position where we kind of control our own destiny. We're tracking it closely. We feel really good about where we're at. We feel really good about what we're going to have available to us to do in the second half. And I can tell you we've got just really strong confidence around our second half numbers in Communications.
Andy Kaplowitz: Appreciate the color Jose.
Jose Mas: Thanks Andy.
Operator: We will take our next question from Alex Rygiel with B. Riley.
Alex Rygiel: Thank you. Good morning gentlemen.
Jose Mas: Good morning Alex.
Alex Rygiel: Jose as it relates to EBITDA margins, can you remind us sort of what your internal targets are over the next few years on an aggregate basis? And then maybe highlight by segment where you see the greatest opportunities to see notable margin expansion?
Jose Mas: Yes. So, let's start I mean with what we've historically said some of what we're experiencing, right? I think let's start with oil and gas because it obviously outperformed in the quarter. I think our visibility around the revenue in oil and gas is actually really solidified for us not just for the balance of 2024, but actually as we look at 2025 and 2026. A lot of conversations with customers about their plans. We feel really good that we're going to be in that mid-double-digit area. We've consistently been at 15% or better for a long time. And I think that we're going to be able to maintain that for a longer period of time and that's great visibility to have versus where we've been in the last couple of years. When we talked about Clean Energy and Infrastructure is getting into those high single-digits this year in 2024 we got to get into the mid-single-digits. A lot of things are changing in that business. Our visibility is dramatically better than it was last year. As we grow the business, as we get rid of all of the challenged projects that we've had over the course of last year, I think we'll begin to demonstrate that in the second half. I think margins will be a lot better in the second half than they'll be in the first half just based on the flow of work that we see both from a volume perspective and the types of projects we're on. Power delivery longer term, we know it's a double-digit business. Our goal is to be in the high single-digits this year. And in telecom, historically we've been in that 12% margin or better over a period of time. We think during the cycle we get back there. We'll be just at about double-digits for the year within our plans in 2024. So, I think look we came off a really tough year in 2023. We knew that. We're confident about our ability to show a lot of improvement in 2024, but we're not celebrating 2024 here, right? We know it's kind of a building year for us and one that we think towards the tail end of the year as we're coming out of the year, we're going to demonstrate our ability to generate much higher margins which should bode really well for 2025 and beyond.
Alex Rygiel: And secondly, obviously, there's been a lot of excitement around AI and hyperscale data centers and onshoring of energy-intensive high-tech manufacturing. And it clearly sounds like you are on the cusp of sort of a convergence of many of your service offerings to these customer categories. Can you expand a little bit upon how you are going to markets to sell all those various service offerings?
Jose Mas: Alex you make a great point and it's one that we probably didn't expect right when you look at the differences in our business. The fact that our infrastructure and civil business could have so much overlap with what we're going to see in power delivery and even telecom and how we bring that all together and how we sell that as a service to not just hyperscalers, but actually the builders of the data centers. There's a lot of co-locate data center builders out there as well. I think, that's really what we've been working on in the first quarter. It's truly identifying the market to understand, what the potential is for MasTec, where are areas in that that we're currently not working that we could be working. And I think, you'll see us be a lot more deliberate about that. Today, we've kind of got a lot of different people working on it and I think you're going to see a consolidated effort on MasTec's part to attack the industry under one umbrella and one service offering.
Alex Rygiel: Sounds great. Thank you.
Jose Mas: Thanks, Alex.
Operator: We will take our next question from Sangita Jain with KeyBanc.
Sangita Jain: Yes. Thank you for taking my questions. So I had one on Communications. Jose, clearly you're seeing momentum in both the wireless and the wireline side. Does your breakdown stay 50-50 as both of these ramp up? Or do you think that skews in either direction based on your conversations with your customers?
Jose Mas: Yes, Sangita, good morning. I think what's changed in the last few years for MasTec is wireline became a much bigger percentage of our total telecom business. And if you look at telecom today, wireline is actually slightly bigger than our wireless business. I think wireline is going to continue to grow for sure. It's where a lot of the opportunity has been for the last few years and we see so much more going forward. But I think the acceleration of the wireless business with the specific awards that we've gotten not necessarily because the market is getting a lot bigger, but because of our ability to win market share, I think it has a potential of getting close to a 50-50 share again.
Sangita Jain: Great. That's helpful. And if I can follow up with one on the transmission project that Paul mentioned, maybe moving to 2025. I just want to make sure I understand, is that connected to the ComEd delay? Or is that a different project?
Paul DiMarco: No, separate projects from ComEd.
Sangita Jain: And can you elaborate on what is causing that delay? Is it just general permitting or something else?
Paul DiMarco: Yes. Just a general cadence for our customer of getting that project to shovel-ready.
Jose Mas: I think you have a couple of different things, right? We talked last quarter about the fact that the Illinois utilities that were impacted by the ruling were shifting dollars from distribution to transmission. We're still seeing that. As we look at our guidance for the year, we haven't made big assumptions around our ability to win on the back end of that, because a lot of that hasn't come out yet or it's in the process of coming out. We feel we're in a great position to win that, but we haven't included it in our guidance for the balance of the year. So I think Paul is referencing larger transmission project. There's an enormous amount of smaller transmission work around the country that's becoming available. And I think we've been very conservative around our assumptions about what we're actually going to win and complete in 2024.
Sangita Jain: That’s it. Helpful. Thank you, so much.
Jose Mas: Thank you, Sangita.
Operator: We will take our next question from Jamie Cook with Truist Securities.
Jamie Cook: Hey good morning guys. Nice quarter. Jose, I guess my first question, you've always been good at sort of being opportunistic on M&A and identifying adjacent growth markets pretty early. And it's just interesting your comments sort of on data centers. So I'm wondering with your balance sheet by the end of the year getting back to your leverage ratio at two times and you look at the opportunity in data, are there ways that you could improve your competitive positioning through inorganic opportunities? Or do you think, like you can attack this market organically? And then just your thoughts there. And then I guess just second question, just on large transmission projects, longer term in the competitive environment with -- can you just talk to what you're seeing from a competitive landscape? There's not a lot of players out there that can do large transmission work. So I'm just trying to understand, if you think your win rate should accelerate over time the size of the projects that you're comfortable with and how we should think about margins on these larger transmission projects over time? Not in 2024 Jose, I'm thinking longer term. Thank you.
Jose Mas: Yes. So a couple of things. Let me kind of bifurcate the question. So I feel like the first part of your question was a little bit of a trap question, but I'll go ahead and answer it. I think, we're really comfortable around where our leverage profile is. I think we've made drastic improvements. We feel great about our cash flow profile. We feel really good about where leverage ratios are going. So, I mean our balance sheet, we think, is in great shape. So to the earlier question, we think we have -- if we needed to or if we wanted to, we think we have the ability to do some things, although we're very committed to our capital structure and really keeping our investment-grade status and everything that we've been saying for quarters, right? I think that the short answer to the question is if the right opportunity came that we think positions us differently or better within what we think is going to be just an unbelievable opportunity, then we would consider doing things. It's an active market. Part of our analysis as we've looked at what the market looks like and what the needs are, and we have looked for -- we have seen things that weren't necessarily not fully engaged in or feel we have all of the right resources to compete appropriately on some of those opportunities. So it's a big maybe, right? To your second question on transmission, I think the market is going to be unbelievable. I think there's going to be a ton of work. I think we will win our share, and I think the margin expectations around that work will be solidly in the double digits.
Jamie Cook: Thank you.
Jose Mas: Thanks, Jamie.
Operator: We will take our next question from Brian Brophy with Stifel.
Brian Brophy: Yeah. Thanks. Good morning, everybody. Just curious your latest thoughts on need funding. When we -- when should we expect it to start impacting revenue? Are you still thinking this is a 2025 event? Or any concerns of delays there? Thanks.
Jose Mas: No. We expect it to definitely hit 2025. We expect to see awards in 2024 relative to it. We have customers that have tremendous confidence in their ability to get certain things funded, and there are already -- many of those are already talking to us about specific projects that would kick off maybe as early as the latter, latter part of 2024, but for sure in 2025.
Brian Brophy: Got it. That's helpful. And then on the Oil and Gas guidance because we're now at the higher end of that $1.5 billion to $2 billion range that you've talked about, how sustainable do you think this level of revenue is? And when will we start seeing some benefits from things like carbon capture?
Jose Mas: We feel -- again, I mean, as we look at 2025 and 2026, we think it's -- we can maintain current levels. Without much opportunity around CO2, I think CO2 will play a part of it. To the extent that, that grows, I think we'll have further opportunities to grow that business over time.
Brian Brophy: Great. Thanks. I'll pass it on.
Jose Mas: Thanks, Brian.
Operator: We will take our next question from Steven Fisher with UBS.
Steven Fisher: Thanks. Good morning. So just curious…
Jose Mas: Good morning, Steve.
Steven Fisher: Good morning. How confident are you in the ramp up to the $260 million of adjusted EBITDA in Q2? Kind of how de-risked do you think that number is? And then thinking more broadly about the full year, you talked to Andy about Communications in the second half. I'm just curious about more broadly for the whole company, what are the biggest things you need to have happen to hit the full year goals in the second half?
Jose Mas: Sure, Steve. So I think, look, we had a solid beat in Q1. We left Q2 exactly like we had it originally. We feel very confident in our ability to hit it. I think we lived a really tough year in 2023, as everybody knows. We never want to be in that position again, and we talked extensively about being in a position to not only hit our numbers, but hopefully beat them consistently over time. And that's not just our view for what hopefully happens in Q2, but it's our view for what happens for the full year.
Steven Fisher: Okay. And then if I could just follow up on the solar side of clean energy. How smoothly would you say that piece of the business is running at this point? Is the work -- obviously, you had good bookings in the quarter. Is the whole regulatory process kind of and transitioning the execution running smoothly? And how far out are you booking work at this point?
Jose Mas: So it's a good question, Steve. For us, I mean, it's like a different world. We feel so much better about our business. We feel so much better about what we understand, who our customers are, what our projects are, the risks. Again, 2023 was a really tough year, particularly in that area. We learned a lot of lessons. I think we've applied them well in 2024. So I think we have a high level of confidence. There's no question that we're building significant backlog that not only impacts 2024, but gives us tremendous opportunity for growth in 2025. As we convert some of those projects we've been talking about in the backlog, it's not even what it means for 2024. It's the level of growth we're going to be able to show for 2025, we think is substantial. We think we've really derisked our customer portfolio. I know there's a lot of talk out there about potentially other investigations relative to solar and circumventions and things like that. And we think we've insulated ourselves as well as we could. So we're really confident about, again, not just with this year and the balance of this year means to our solar business but what it means in the long-term.
Steven Fisher: Perfect. Thank you.
Jose Mas: Thanks, Steve.
Operator: We will have our next question from Brent Thielman with D.A. Davidson.
Brent Thielman: Hey. Thanks. Jose, just back on clean energy. Would you have a look at the opportunity in industrial projects, again just considering all the load demand it seems like there should be more pull on gas facilities? Curious your thoughts there.
Jose Mas: So, I mean, we're not out of the market. We've deemphasized the market, so it's going to be a much smaller business for us today than it's been. I mean if you -- in Paul's prepared remarks, he talked about year-over-year backlog in clean energy that obviously, it looks down year-over-year. But when you normalize it for our decisions around industrial, it's actually up. The industrial work that we're doing today is predominantly it's all cost plus. So we think that we're comfortable around that contract structure, because we don't have a ton of risk with the complexity of some of these projects. So to the extent that we can continue to deliver and our customers feel we can give them value doing that, we'll continue to do it. As you said, we're in a -- it's an incredible market today. There's a ton of activity out there and there's -- the supply of labor is short. So to the extent that we can help our customers meet their needs, we're going to do it.
Brent Thielman: Okay. And then just on the updated view for Power Delivery this year. I guess I just wanted to get a sense of how much conservatism that might be factoring in given the movement here. Is the outlook contingent still on certain things falling into place? Or does this feel pretty flushed out?
Jose Mas: Look, I think we talked about it last time. On our last call, we -- the decisions in Illinois impacted our business on the distribution side, pretty significantly. It kind of ate away at the growth that we expected for the year, so that the growth is compensating the slowdown there. Those companies have publicly said, they're moving that distribution CapEx to transmission. We have very moderate assumptions around what we will get relative to that in the numbers that we have. So we do think that if that plays out the way they've said, that's going to provide really nice upside for us in that segment. Our storm expectations for the balance of the year are very muted, and it's expected to be an active storm season. We have no idea what the reality of that will be. That provides quite frankly tremendous upside to that unit if that season comes in as normal, as a normal season would. Last year wasn't, so we've kind of replicated what we saw last year. So we do think that we've got a very achievable plan. And hopefully, if things play out well, hopefully, we deliver a much better result than what we've said.
Brent Thielman: Okay. Thank you.
Jose Mas: Thanks, Brent.
Operator: We will take our next question from Adam Thalhimer with Thompson Davis.
Adam Thalhimer: Hey. Good morning, guys. Nice quarter and good to see the stock over $100 again.
Jose Mas: Thanks, Adam.
Adam Thalhimer: The T-Mobile, I was kind of surprised you mentioned that. Can you talk about the fiber opportunity there, if you're well positioned and when some work might start?
Jose Mas: We've been hearing rumors for a long time that T-Mobile was going to try to build their own fiber network to support their wireless business. I think we saw it in their announcements. They're actually trying a couple of different things, but their latest announcement is a joint venture with EQT, where they're going to buy Lumos and be a key tenant and owner of that asset. We think that that shifts -- further shifts the wireless business into seeing one where all of the carriers are going to own their networks. It's a very important part of the business. And when you look at their announcement, it's not just about them using that network. It's about continuing to build out that network. So, we do feel we're well positioned. We have a good relationship with them and I think it could meaningfully impact our business over a long period of time.
Adam Thalhimer: And then Paul, your Q1 cash from ops was way above my forecast, but you didn't raise the annual guide. Can you is that some conservatism? Or can you just touch on that, please?
Paul DiMarco: No. Listen last quarter I said, I thought, we're modeling that we stay in the high-70s from a DSO perspective. And with the growth particularly in the middle quarters that's what's going to drive a lot of the cash flow, so we kind of -- we're in that range for Q1. We're optimistic, there's some opportunities for improvement there, but a lot of it is just timing. We'll probably consume some working capital in Q2 and Q3 and there should be some release in Q4 just kind of in line with the cadence of revenue.
Adam Thalhimer: Okay. Thanks guys.
Paul DiMarco: Thanks Adam.
Operator: We will take our next question from Justin Hauke with Robert W. Baird.
Justin Hauke: Hey guys. To ask in Oil and Gas, you said you're expecting it to be more kind of book-and-burn type work going forward less large projects, but there are some larger kind of traditional Permian lines that have made some news and are coming to market for the first time since peak in 2014, 2015. I know you talked about newer things like hydrogen. But I guess what's your outlook for big pipe there, is that still something that issue or is it kind of intentional to move towards this more book-and-burn work there?
Jose Mas: Well, Justin, we would consider that book-and-burn. Those aren't projects that get awarded with -- those projects don't get awarded a year in advance or six months in advance. Those projects are being awarded relatively close to start time. Those projects tend to be much shorter in duration, because it's a lot easier to work in those areas. So that's part of what we consider our book-and-burn business. It's greatly enhanced from where it's been. A lot of it's -- a lot of what you're reading is, what we talk to our customers about. We think we're in great position especially in those markets to be very successful. So that's part of what's driving our optimism.
Justin Hauke: Second question, in the Power Delivery business, we've seen some of your competitors buy some manufacturing capacity in there to deal with some of the speed to market on some of these long lead time issues. Is that something your customers are looking for you to bring to market? Is that something you'd want to move into? Or is that kind of outside of playing in that market?
Jose Mas: I don't think we need to own it. I don't think it's bad to own it either. I just think it could be a different model, right? I think what you're going to see is, I think we have a lot of relationships in place. We would love to overtime be able to build more exclusivity around those relationships, as it relates to third-party builders of stuff. But I think it's interesting. It's been an interesting dynamic in the marketplace. I think our customers are really sophisticated in how they buy, and what they buy. I think they're very smart. And to the extent that we can add value, we will. But historically especially for the majors they've kind of bifurcated those buy decisions. And I don't expect it to change.
Operator: We do not have any further questions in the queue. I would like to turn the call back to Jose Mas, for closing remarks.
Jose Mas: So I'd just like to thank everybody for participating today. And we look forward to updating you on our second quarter call in a few months. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.